Operator: Welcome to the LeMaitre Vascular, Second Quarter Financial Results Conference Call. As a reminder, today’s call is being recorded. At this time, I would like to turn the call over to Mr. JJ Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead sir.
JJ Pellegrino: Thank you, Philip. Good afternoon and thank you for joining us on our Q2, 2014 conference call. Joining me on today’s call is our Chairman and CEO, George LeMaitre and our President, Dave Roberts. Before we begin, I’ll read our Safe Harbor statement. Today, we will be making some forward-looking statements, the accuracy of which is subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as believe, expect, anticipate, forecast and similar expressions. Our forward-looking statements are based on our estimates and assumptions as of today, July 29, 2014, and should not be relied upon as representing our estimates or views on any subsequent date. Please refer to the cautionary statement regarding forward-looking information and the Risk Factors in our most recent 10-K and subsequent SEC filings, including disclosure of the factors that could cause results to differ materially from those expressed or implied. During this call we will discuss non-GAAP financial measures, which include organic sales and growth numbers, as well as EBITDA. A reconciliation of GAAP to non-GAAP measures is contained in our press release announcing in the quarter’s results and is available on the Investor Relations section of our website, www.lemaitre.com. I’ll now turn the call over to George LeMaitre.
George LeMaitre: Thanks, JJ. Q2, 2014 was a productive quarter. I’d like to focus my remarks on four headlines: Q2 sales grew 14% to a record $18.2 million; Q2 operating profit grew 37% to $2 million; in Q2 we launched the HYDRO LeMaitre Valvulotome; and finally the fourth headline, we hired a Chinese General Manager and plan to open a Shanghai office in September. As to our first headline, we posted our best quarter ever at $18.2 million in sales, a 14% improvement over Q2, 2013. By product, XenoSure and Trivex drove Q2 sales growth. XenoSure was up 27% in Q2 with record sales of $2.5 million. XenoSure was approved in the U.S., Canada, Europe and now New Zealand and we’ve submitted our (inaudible) application in Q2. We also plan to file for XenoSure approval in China and Brazil in 2014. As for Trivex, we posted $2.7 million in sales in the first 10 months of ownership and expect approximately $3 million of year one sales. Trivex is producing solid operating contribution and has enabled our push into China. We acquired Trivex in August 2013 for approximately $2.8 million, less than one-time sales. Geographically our newly direct operations led the way in Q2, with 269% sales growth in Australia and 120% sales growth in Switzerland. Our direct sales operations in France, Iberia and Italy also reported growth of 43%, 24% and 15% respectively, as these economies repaired. Our sales guidance projects 12% growth in Q3 and 9% growth in 2014. As for our second headline; record sales, sequential gross margin improvement and a 10% sequential expense reduction combine to produce operating profits of $2 million, a 37% increase versus Q2, 2013. We also posted record EBITDA of $2.8 million. As to our third headline, the HYDRO LeMaitre Valvulotome is the most ambitious redesign of our flagship product in 12 years. It features water activated hydrophilic coating on a 1.5mm catheter for easier insertion into smaller veins and smoother less dramatic passage. Valvulotome has accounted for 22% of our Q2 sales and we expect a $100 per unit price hike from the HYDRO. The HYDRO is approved in the U.S., Europe, Japan and Canada and is now the only Valvulotome we sell in Australia. As to our fourth headline, we’ve hired a Chinese General Manager and expect her to open our Shanghai office in September 2014. This office will support our two Chinese distributors of Trivex and AnastoClip and will also begin to pursue regulatory approvals. By the end of 2016 we expect that seven of our 15 products will have received approval in China. Since we received our first Chinese approval in Q2, 2013, LaMaitre’s worldwide sales have exhibited higher beta, based somewhat on the timing of our Chinese shipments. For instance, we posted approximately $700,000 of Chinese sales in Q4, 2013; $100,000 in Q1, 2014 and then $580,000 in Q2, 2014. While our Chinese sales may be lumpy and carry lower gross margins, we’re excited to get a foothold in China, the third or fourth largest medical device market. I’d now like to hand the call over to JJ Pellegrino, our CFO.
JJ Pellegrino: Thanks George. I’d now like to say a few words about our share offering, gross margin, cost cutting, the bottom line and guidance. Before I do however, I would like to welcome the analyst team at Brean Capital, including Jason Wittes who initiated coverage in May. I would also like to welcome the research team at Stifel Nicolaus, including Rick Wise, Matt Blackman and Drew Ranieri who initiated coverage on us following our recent public offering. We look forward to working with both teams in the quarters ahead. On June 4, 2014 we closed an underwritten public offering of 1.64 million shares of our common stock at a price of $7 per share. Net proceeds from the offering were $10.5 million. The goals of this offering were to increase our war-chest (ph) for acquisitions and to issue additional shares in order to support increased trading liquidity. The $7 per share offering price represented an 8% discount to our pre-offering share price of $7.63, in-line with the 7% mean discount for recent med device follow-on offerings. Post offering, our weighted average share count used in the calculation of fully diluted EPS was 16.5 million shares in Q2, 2014 and will be approximately 17.7 million for both Q3 and Q4, 2014 and approximately 17 million for the full year 2014. Gross margin in Q2, 2014 was 68.1%, a sequential improvement from 67% in Q1 and 66.7% in Q4, 2013. XenoSure manufacturing ramp, Southbridge closure and cost reduction initiatives, all contributed to the improving results. I continue to expect additional improvements over the second half of 2014 and look for a 70% gross margin in Q4. Operating expenses in Q2, 2014 were $10.4 million, a sequential reduction of $1.1 million from the first quarter. The February and April layoffs of 40 employees, as well as other internal cost cutting initiatives have driven the decline. All told, we believe that we have reduced annual operating expenses by approximately $5 million, which is facilitated a quick bottom line turn around. Combined with strong sales and an improving gross margin, this rightsizing of our expense structure clears the way for $2 million in operating income in Q2 and a 11% operating margin. Turning to guidance, we are expecting Q3, 2014 sales of $17.1 million up 12% versus Q3, 2013 and operating income of $1.4 million up 80% versus Q3, 2013. We’re also increasing our full year 2014 sales guidance to $70.1 million up 9% versus 2013 full year and improving our full year operating income guidance to $5.6 million, up 24% versus 2013. Separately we will be presenting at several upcoming investor conferences, including the Canaccord Global Growth Conference in August in Boston; the Barrington Growth Conference in September in Chicago; the Stifel Healthcare Conference in November in New York; the Canaccord Medical Technology forum in November in New York and the Brean BMC Life Sciences Summit in November in New York. With that, I’ll turn it back over to Philip for Q-&-A.
Operator: (Operator Instructions) And our first question comes from the line of Jason Wittes with Brean Capital.
Jason Wittes - Brean Capital: Hi, thanks for taking the question. Just first on China, in terms of what the impact might be, I assume (a) most of that will be felt next year and on top of the revenue improvement will also get some margin improvement from just the change in structure over there?
George LeMaitre: Okay, so I mean, I think we are still open for businesses in China in the H2 although we’ve sold a lot and as you know we’ve had these regulatory lapses as of January and July, but yes; definitely we’re looking for a long term thing in China with growth in 2015. I don’t envision a margin improvement, because the structure is going to remain largely the same for a while Jason.
Jason Wittes - Brean Capital: So it won’t be a direct – it will still be distributors basically.
George LeMaitre: That’s right, and we’ll be pulling sales through the distributors.
Jason Wittes - Brean Capital: Okay, and then also on XenoSure, sales continued to be strong. I did note that your guidance is now for plus-30. I think you were looking for a little bit more earlier in the year. Is there a reason for that change?
George LeMaitre: Yes, guidance is down from 10.3 to 10.0. It’s just what we’re seeing right now. We still feel pretty good about it. It’s a 27% growth rate in the quarter, but we’re coming up against big numbers and comps are hard.
Jason Wittes - Brean Capital: Understood, understood and that on the HYDRO Valvulotome, it sounds to me like you’re – the direction that business is going is that you’re hopeful that the entire business will convert over to hydro or is that a little too aggressive in terms of thinking about how that cascades in the U.S. and the rest of the world.
George LeMaitre: Right, so we’re doing a little testing on that in Australia where we are doing a hard switch and you can only get a HYDRO LeMaitre in Australia. We’re going a little bit more gingerly in our larger markets, because of course there’s more dollars at stake there. But yes, in a long run I do feel like this is going to be a Hydro only company, although we don’t know how long the long run will take to play out.
Jason Wittes - Brean Capital: Okay, and the last question and I’ll jump back in queue, and that is, do you break out, in terms of your growth rate how much of that was related to pricing?
George LeMaitre: Yes. Well, we don’t break it out in the press releases, but we do always answer it and the 6% organic growth rate in Q2 was approximately 50% pricing and a 50% unit growth.
Jason Wittes - Brean Capital: Great, thanks a lot.
George LeMaitre: Thanks Jason.
Operator: And our next question comes from the line of Chris Lewis with ROTH Capital Partners. Please proceed.
Chris Lewis – ROTH Capital Partners: Hi guys. Good afternoon and thanks for taking the questions.
George LeMaitre: Hey, Chris.
Chris Lewis – ROTH Capital Partners: I guess first to start on gross margin, I’m starting to see a nice sequential improvement there, at least in the quarter and JJ you mentioned you still planned to exit the year at 70%. So maybe if you can just provide a little more color on what you’re seeing there in terms of the XenoSure manufacturing ramp and then what the company needs to do in order to get back to that 70% exiting this year.
George LeMaitre: Yes, thanks Chris. So the XenoSure ramp was an interesting one and then I think it took a little more time than we thought to sort of crank things up. But since we’ve gotten going nicely in XenoSure and the units have started improving markedly, we’re producing by and large around sort of the annual units that we’re selling right now back in that realm and so that’s had a dramatic impact on the margin. Sequentially from Q1 to Q2 it was something like a 2% impact in the margin. I would say going forward that’s going to continue, but the XenoSure margin is still below the corporate margin, so it’s a little bit complex in that sense, that while its improving it’s still below the corporate margin and XenoSure is still growing at 30%-plus as a product category. It was on our product line and so therefore that’s going the hurt the margin overall going forward, although it helped sequentially from where we’ve been, so there is that piece flowing through. There’s a couple of other mixed pieces as well, sort of the U.S. verses O-U.S. piece. As you recall Chris, the U.S margins are stronger than the European margin and to the extent that Europe grows more quickly than the U.S. that would be sort of a headwind on our gross margin. And then there is the export and China piece. To the extent that we sell into China, that margin is generally a little bit south of 50% or so. Depending on what we sell into China, that’s going to be a drag on margin. But those pieces sort of have been, I guess over shadowed in the last few quarters by the XenoSure ramp, which has helped a lot the closure of the clinical instruments facility down the road here in Southbridge. And then general manufacturing efficiencies. We’ve done pretty well in Homograph and LifeSpan, particularly in the clean-room and then of course year-over-year you get ASP increases, so those will help.
Chris Lewis – ROTH Capital Partners: Okay great, thanks for all that color. And then just on the guidance, the revenue guidance kind of for the remainder of the year, you obviously beat – nice beat this quarter, but you only increased your annual guidance by 100,000. So I think that implies a nice double digit growth in the third quarter, but when I look at the fourth quarter it’s a pretty low. I think low single digit implied growth in the fourth quarter. So, maybe just walk us through the different dynamic to think about their, whether it’s a bit of conservatism or just tougher comps or just other areas that we should consider when thinking about the growth for the reminder of the year.
George LeMaitre: Yes, it is a little bit of a tricky one there to sort of think through. But it largely revolves around China, Chris. I think George talked about China being chunky and it is $600,000 to $700,000 of China sales in Q4, then down to $100,000 to $200,000 in Q1 and then back up to $700,000 in Q2, so... I think what you are seeing there is in the back half of the year. We are thinking about less China sales and then when you get to Q4, that comp is comping against the Q4 of last year. That had $750,000 or so of China sales, so it’s a tough comp. If you pull that out, that comp rate looks a lot better in the sort of 5% or 6% range. So, I think it’s really a story of sort of front loaded in the year, H1 sort of more China and may be less in H2. Remember also that Q3 is seasonally a weaker for us typically, and so you’ll see Q3 come down as we’ve guided as well.
George LeMaitre: Chris, I might also add. This is George. We’ve made 11 of 18 guidance quarters on sales and 11 of 18 for op income. So we continue in this building to try to prove out that when we say something, it winds up being right on the next phone call that we’re at. So there’s a little bit of caution in all those things. We are trying to improve that. We have 61% batting average and we feel like we want to bring that up, so we’re always trying to make sure we make these numbers going forward.
Chris Lewis – ROTH Capital Partners: Okay great, and then if I could sneak one more in, just with the financing and the war-chest in place now. Can you talk about just M&A and what you’re seeing out there, what’s the appetite? What types of technologies may be of interest to you and I guess with the war-chest built-up a little bit, do you go after potentially a larger acquisition than the company has historically executed. Thanks.
Dave Roberts: Hi Chris, its Dave. Thanks for the question. Yes, there are certainly plenty of targets available right now and with the bigger war-chest, I think at the margin we would prefer to look at larger deals, but of course we’re going to pull the trigger on the right deal. The attributes of the deals haven’t really changed much. Of course used by vascular surgeons, niche market, products with sales may be $5 million to $20 million in sales accretive, something like that. But we did that secondary offering, that follow-on offering, so we could fill the bank account to do more and/or larger deals. So hopefully we’ll be able to execute on that over time.
Chris Lewis – ROTH Capital Partners: Okay, thanks for the time.
George LeMaitre: Thanks Chris.
Operator: (Operator Instructions) And your next question comes from line of Rick Wise from Stifel.
Rick Wise - Stifel : All right. Good afternoon everybody.
George LeMaitre: Hi Rick.
Rick Wise - Stifel : How are you doing? It looks like the Americas drove a lot of the revenue up-side in the quarter. May be can you give us a little more color, a little more detail on some of the specific areas of strength and processes staying with us, and what implies about the rest of the year?
JJ Pellegrino: Sure Rick. So there’s a little detail I want to go through here, which is the Americas’ revenue looks like it grew 14%, but that’s carrying a lot of a Chinese export piece. Our factory, the direct things that we ship out of our factory to some distributors is booked on the U.S. side in the America, so it looks a little bit different than it is. But the good thing is the Americas did rebound from a very weak Q1, where we shrunk by 1% organically and we grew by 3.4% organically in Q2. Some of the color on that as we felt like Q1 was affected by Obama Care pulling revenues into Q4 and we also, now that we have a little perspective on the first quarter, looking at the macro U.S.-GDP shrinkage of 3%, we didn’t really know that when we were going through that and I think that had something to do with it. So color is, U.S. is rebounding. I’d even go a little further here, which is we feel pretty good about in Q3 we could see that organic growth number expand in the U.S., sort of into the 5’s and 6’s and 7’s and 8’s, from again negative one in Q1 and 3.4 in Q2.
Rick Wise - Stifel : Got you. And on the GPO front, can you talk a little bit about your experience so far with Premier? I think if I remember it correctly, you signed a contract a few months ago. Are you actively signing additional GPO contracts domestically? Is there something ahead that could be an accelerant to grow?
David Roberts: Sure Rick. This is Dave. Thanks for the question. Premier, obviously we signed that. That became effective on April 1 and right now we are working on converting their members to some of our products, mainly XenoSure and our Vascular Grafts. With respect to other GPOs, we haven’t signed any other GPO contracts yet. We’re in the application process with respect to a couple of our product lines, with some of the larger GPOs. I don’t feel like its eminent right now, but we definitely feel like it’s an important part of our strategy going forward.
George LeMaitre: Rick, I’d add that I feel like we’re in the top of the first inning in the U.S. for the GPO game, and I feel like in Germany, by contrast we’re sort of in the eighth or ninth inning where we’ve really gotten it done and about 60% or 70% of our sales are going through German GPOs. So as an organization we do know how to do this, but in Germany and we’re learning in the U.S. So we’re really just getting started in the U.S. and again its only two months old. I don’t think it’s ahead of plan or behind plan, but it is just getting started and we happened to start with one of the biggest premiers, so that’s a good start, but we’ll see what happens.
Rick Wise - Stifel : Thank you so much.
Operator: All right. And or next question comes line of Larry Haimovitch from HMTC. Please proceed.
Larry Haimovitch - HMTC : Good afternoon gentlemen. My question has actually been answered, but George I’ll rephrase one of my questions, which was the up-tick in Q2 over Q1. You had said in Q1 you were thinking that procedures were down overall in market, and you were right. Obviously things have bounced back. Do you have any color at all for the rest of the year? Do you think we’re going to continue to see it somewhere in the 3% to 4% organic growth? Is that kind of your expectation going forward?
JJ Pellegrino: And you’re talking U.S., not global..
Larry Haimovitch - HMTC : Yes, U.S., yes U.S.
George LeMaitre: I feel as though you’re going to see better numbers from the U.S. I mentioned just now that – I feel in Q3 like you’re going to get five, six, seven, eight from the U.S. and I haven’t split it out in my head in Q4 to be honest with you, but it feels like we kind of have an opportunity here, particularly the HYDRO launch going on in the U.S. It’s not taking place in Europe; it’s launching in the US.
Larry Haimovitch - HMTC : Okay, and then just a follow-up question. Price increases have been a regular feature of LeMaitre as long as I’ve followed you and probably way before that. Have you seen any resistance or any issues at all? I realize you dominate many of your markets and they are very niche-ing products, but have you ever seen any kind of push back George to where its affected sales growth?
George LeMaitre: Well, I would say Larry – so we have a slide that’s up on the Internet, on our corporate slide, so it’s a great slide. It tries to really address this issue for the last 10 years, so you have 10 years of data there and I feel as though our ability to increase prices over the last 10 years goes down by roughly 0.5% every year. So if we were in the 7’s, 8’s to 10 years ago, and I was doing the math really quickly here, we’re sort of 3.4% and 4% right now. I feel like we get much better pricing than our peers, because we’re in such small niches, but I do feel like pricing power is slowly draining away. It’s a little bit harder and we’re dealing with more GPOs and more pricing committees.
Larry Haimovitch - HMTC : Okay. So does that fact that prices are getting a little harder to raise year-over-year-over-year, perhaps have an effect on the long term organic growth of LeMaitre.
George LeMaitre: No, because I think we’ve been able to supplement that with incredible geographic expense. So to the extent your seeing slightly lower U.S. organic numbers of sort of 4’s and 5’s this year, I do feel like you keep these great international numbers and that’s funded to a certain extent by our geographic adventures into places like China, like Australia and like Switzerland most recently, but five years ago we got into Italy, France and Spain and they are still paying dividends for us.
Larry Haimovitch - HMTC : Great. Thanks George.
George LeMaitre: Thanks.
Operator: All right, and our next question comes from the line of Jan Wald from Benchmark. Please proceed.
Jan Wald – Benchmark: So, good afternoon everyone and congratulations on the quarter. I guess I just have more of a follow-up type questions than anything else. I guess the one thing that I saw last quarter was sort of the strategic move in a sense towards international markets and I know you had good, strong U.S. growth this quarter, but could you talk a little bit about what your expectations are for Europe and China and into Australia and New Zealand for the rest of the year?
George LeMaitre: Okay. So I think we’ve gotten a little bit to this as a group in the last 10 minutes. I think Chinese sales have been quite lumpy for the last nine months and I don’t think we have enormous expectations for China, although you never know, because either the distributor comes in with a giant order or they don’t. So I guess in our guidance here, I think we’re not thinking there’s a bunch of Chinese orders out there. So then you would say, well its Europe and the U.S. for the balance of it. I’ve also mentioned, I think, I feel like the U.S. has some good numbers, at least out into Q3. I’m quite as knowledgeable in my mind about where U.S. in Q4 will go, but I think it’s going to go fairly well. These new markets are fantastic, so the Switzerland’s, the Australia’s, I feel like we got long, long runways of 50’s and 80’s and things like that for the newer markets and then the traditional European markets, the Mediterraneans, as well as sort of the northern European markets and what we’ll call the core markets. We are bumping into some tough comps from last year, but still within our guidance is – I think we’ve got 8% in the quarter, 8% organic growth and 11% or 12% for Q3 and then if you take out the big Chinese order in Q4, I think you still got 5% organic growth in Q4. So it still indicates some healthy growth out there as well.
Jan Wald – Benchmark: Okay. And in terms of – I know you kind of have work force reduction in hand. I know also that you had plans to – I think you had plans to increase your sales force. Has that changed or what are you going to do in terms of growing your sales force over the coming six to 12 months?
George LeMaitre: Sure. So Jen, inside the whole riff if you will of 40 people, the net drop in sales reps has gone from 87 to 83 from the end of Q1 to the end of Q2 and we had always said, we think we’re going to do 85 sales reps at the end of the year. I still feel like that’s about where I want to land by the end of the year. The reduction in force took place throughout the organization and only four sales reps net-net were taken out.
Jan Wald – Benchmark: As you are adding sales personnel, where will you put them? Will it be U.S. now that’s grown again or do you see it going into Europe or International?
George LeMaitre: Sure. We sort of played this out a little bit before the phone call of where we might be putting this reps and we have an amazing pallet of good places to puts reps right now, because we have infrastructure all over the world. Given that I’m saying we’re only going to 85 by the end of the year – don’t take this wrong, but if we were to add 10 reps right now and the LeMaitre’s business plan is to always add more reps. If we were to add 10 reps, I’d say I’d split it to third, a third, a third; Western Europe, United States and Canada and then also the Pac Rim. So maybe two in China, one in Australia, three in the United States and then three-ish France, Holland something like that.
Jan Wald – Benchmark: Okay, and I guess one last question. In terms of looking forward and trying to maybe get at an acquisition type of question here, where do you see the vascular surgery market going? I mean what do the surgeons want, what do they need and if there is a technology available to go and meet those needs?
George LeMaitre: Sure. It’s a pretty dynamic space right now Jan. I would say surgeons with the delivery of healthcare, certainly they are doing more endovascular procedures, they are moving a little bit out of the hospital, thing are going a little bit more through purchasing committees. But at the end of the day, I think what they and what the healthcare wants are devices that deliver strong patency and deliver value. And so when we look at medical devices for acquisitions, there is a lot of interesting technology we see, but often times it’s not proven and we place a very high premium on devices that are proven in the market and ones that we believe to be cost effective for the healthcare system. The fact that our devices work equality if not better over in Europe, where they spent half as much as we do in the U.S. of their GDP on healthcare, indicates that our suite of devices is quite effective in that regard. So we’ll continue to do that. It might mean we won’t get the wizbang, rocket science type of product, but we think for the long haul it’s what the health system wants.
Jan Wald – Benchmark: And I guess one last question, related question. It looks to me as if one thing that might have to happen and tell me if does or doesn’t, is that in order to keep your growth going at the rate it is or maybe even improving a little bit, you have to rely more on acquisitions than you have in the past, because of the maturing markets and I know there are some markets you are just entering and you think you have a really long glide path to those markets. But a lot of the mature markets are going to slow down on you. Is there anymore pressure to acquire now than what it has been in the past?
George LeMaitre: Jan, I would defiantly say not. I feel like geographically right now the world is our oyster. We are going to places and we are getting – this suite of products, these 15 products, they work in almost every single geographic local. So you really just have to have the bandwidth and the money and the time and effort to get into an Australia or China and you are going to really product some great growth rates. So no, in generally the message we like to keep putting at people is we’re probably going to be growing around 8% organically and then you can expect us to add a little bit on top via acquisitions and I think that’s been in play for a long time. I think over 10 years we have an 8% organic growth rate CAGR and we have a 12% reported growth rate CAGR. We don’t see that changing. If you put 2013 and 2014 together, you are going to have an 11% organic growth rate in 2013 and a 5% in 2014, and you put together that’s 8% for these last two years. It feels to me like that’s still in play very much and we’ll keep on adding on when and as the acquisitions popup, at a good price. I think you’ve seen us pretty price sensitive on these acquisitions and I think we’ll continue to hold our fire on expensive acquisitions.
Jan Wald – Benchmark: All right, thank you very much.
George LeMaitre: Thanks Jan.
Operator: All right. And our next question comes from the line of Jason Mills from Canaccord Genuity. Please proceed.
Jeff Chu - Canaccord Genuity: Hi guys. This is actuality Jeff Chu filling in for Jason. Thanks for taking the question. George I just wanted to follow up on your comments regarding growing the sales force. I was just wondering if you might, the sales force additions in Europe or in overseas would be adding to areas where you are already direct or have you identified new geographies to convert to direct sales.
George LeMaitre: Right, okay, so of course we with China, taken as a given though when try to be there. The things I have in mind right now are mostly drop into the existing infrastructure; we can do that. We probably have room for – pick a number, 20 or 40 reps to go into the existing infrastructure when and as we do choose to pick off new geographies. Things like Brazil, Finland and New Zealand are tempting and interesting to us. Although, I feel right now with China coming on, maybe it’s best to wait and see how that goes a little bit before we get too aggressive with other geographies.
Jeff Chu - Canaccord Genuity: Okay, very good. With regard to geographic expansion and you’ve touched upon kind of the near term expansion opportunities. I was just wondering what your thoughts are over the long term, let’s say after five years. How do you envision international business playing out and related to that, given the importance or the larger contribution from your international business, what’s your confidence in keeping your margins or being able to sustain your margins in the 70% range?
George LeMaitre: Okay, that’s an interesting question. Of course we all agree that these international margins are not quite as good as the U.S., but I do think we still have a lot of upside in the factory in terms of cost cutting and are improving margins that way. And also keep in mind, we still do have something like a 3% of 4% price hike going every year and that helps you keep the margin up as well. So I don’t want to give a long range guidance play on our margins, but around here we are always thing 70-ish and I don’t think we think about it in terms of much less than that as a long term thing. But yes, of course that will be a headwind thing and we’ll have to deal with the headwind as it approaches. More international certainly does mean lower margins.
Jeff Chu - Canaccord Genuity: Okay, great. Thanks for taking the questions.
George LeMaitre: Thanks Jeff.
Operator: Our next question comes from the line of Joe Munda from Sidoti & Company. Please proceed.
Joe Munda – Sidoti & Company: Good afternoon guys. Thanks for taking the questions.
George LeMaitre: Hey Joe.
Joe Munda – Sidoti & Company: JJ, I guess my first question’s for you. Are we expecting to see anymore restructuring or impairment charges in the third quarter?
JJ Pellegrino: No, we are not Joe.
Joe Munda – Sidoti & Company: Okay. So that op guidance that you gave, that’s free of any one-time charges, right.
JJ Pellegrino: Correct.
Joe Munda – Sidoti & Company: Yes okay. And CapEx through the first six months?
JJ Pellegrino: The last quarter was about $100,000 and I’m going to say it was $300,000 or $400,000 in the quarter before that, so maybe $0.5 million. 
George LeMaitre: The cost cutting program has reduced CapEx. You can feel it; it’s gotten tight on CapEx.
Joe Munda – Sidoti & Company: Okay, yeah, George that’s an interesting point. With all the expansion plans that you guys have, I mean, is that a number that we can annualize out, that $0.5 million through the first six months.
JJ Pellegrino: For this year, yes Joe. I mean normally I think we are in the $1 million, $1.5 million range for CapEx, unless we are doing a build out or an integration of a manufacturing facility or something extraordinary. I think this year is going to be feeling more like, yes, you can annualize that.
Joe Munda – Sidoti & Company: Okay. And George I think in your prepared remarks, I think I missed it, what was the Trivex sales and what was XenoSure sales in the quarter.
George LeMaitre: Sure, XenoSure was $2.5 million in the quarter for a 27% reported growth and Trivex, I didn’t say in the quarter, but I did say for the 10 months that we’ve owned that business it’s been $2.7 million and I think we’re projecting it to be about $3 million for the first 12 months of ownership.
Joe Munda – Sidoti & Company: All right, $3 million for the first 12 months, okay. I guess as far as, you talked about expansion, you talked about the margins. I’m just curious here. As we look at the business, I know a lot of previous callers had mentioned it. It seems like international is the hot spot. Is that also being taken into account as you develop an acquisition strategy going forward? Are you looking at products that would sit here in the U.S., as well as overseas or is there a particular market that you’re aiming at as far as an acquisition strategy?
JJ Pellegrino: That’s a good question Joe. I would say we’re a little bit agnostic. We greatly prefer that acquisitions have sales in markets where we have sales people already. But of course, since we now have 83 sales people and they are spread across multiple countries, that means as long as the targets have sales in the U.S. or Europe and now we have Australia and we will have sales reps in China and Canada, etcetera, I’d say we are a little agnostic. We prefer the sales are – historic sales are in countries where the markets are a little bit proven out. But generally speaking, we are agnostic. If there are sales in Europe instead of the U.S., that’s okay. If they are they are in the U.S. and they can take advantage of our fantastic sales force here, that’s terrific as well.
Joe Munda – Sidoti & Company: Okay. That’s all I had. Thank you.
George LeMaitre: Thanks Joe.
Operator: Ladies and gentlemen, this will conclude the question-and-answer portion of today’s conference, as well as the end of today’s call. Thank you all for your participation and you may all now disconnect. Have a good day.